Operator: Good day, ladies and gentlemen, and welcome to the Q4 2018 NGL Energy Partners LP Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce Chief Financial Officer, Mr. Trey Karlovich, Please go ahead sir.
Robert Karlovich: Thank you. And thank you everybody for joining us. As a reminder, this conference call includes forward-looking statements and information. Words such as anticipate, project, expect, plan, goal, forecast, intend, could, believe, may, and similar expressions and statements are intended to identify forward-looking statements. While NGL Energy Partners believes that its expectations are based on reasonable assumptions, there can be no assurance that such expectations will prove to be correct. A number of factors could cause actual results to differ materially from the projections, anticipated results or other expectations included in the forward-looking statements. These factors include prices and market demand for natural gas, natural gas liquids, refined products and crude oil, level of production of crude oil, natural gas liquids and natural gas; the effect of weather conditions and demand for oil, natural gas and natural gas liquids; and the ability to successfully identify and consummate growth opportunities and strategic acquisitions at costs that are accretive to financial results and to successfully integrate and operate assets and businesses that are built or acquired. Other factors that could impact these forward-looking statements are described in risk factors in the partnerships annual report on Form 10-K, quarterly reports on Form 10-Q and other public filings and press releases. NGL Energy Partners undertakes no obligation to publicly update or revise any forward-looking statements as a result of new information, future events or otherwise. This conference call also includes certain non-GAAP measures, namely EBITDA, adjusted EBITDA and distributable cash flow, which management believes are useful in evaluating our financial results. Please see the partnership's earnings releases, investor presentations and annual and quarterly reports on Form 10-K and Form 10-Q on our website at www.nglenergypartners.com under the Investor Relations tab for more information on our use of non-GAAP measures as well as reconciliations of differences between any non-GAAP measures discussed on this conference call to the most directly comparable GAAP financial measures. At this time, I will now turn the call over to our CEO Mike Krimbill.
Michael Krimbill: Thanks Trey. Good evening and thank you for joining us. We have several important topics to discuss with you today including the strategic direction and future of NGL. Of course this is an average week for us. We don’t expect anything different, but I would like to start addressing the Retail Propane sale transaction. The Retail Propane business is mature with very little internal growth. Its main growth is in the form of M&A which has been achieved at a 6 to 7 times multiple of EBITDA, but in limited quantity as two large propane retailers exist. Maintenance capital requirements exceed 10% of EBITDA, but the cash flows are barely steady over time a good foundation for an MLP. Propane peers have historically traded in the 8 to 11 times EBITDA range. This transaction multiple is 10.7 times 2018 actual EBITDA and 11.5 times cash flow after maintenance capital, clearly at the high end of that range. Thus we have an attractive valuation, but is there a more profitable investment opportunity. As you know, the Delaware portion of the Permian basin is being rapidly developing and is generating water to crude oil ratios of 4 to 6 barrels of water to crude. The water pipeline and disposal infrastructure will require billions of dollars to develop. This presents NGL with large capital investment opportunities at attractive rates of return. The Partnership was an early mover in this space and has the expertise required to partner with producers and capture significant market share provided it has adequate capital resources. Thus it makes sense to divest of a slow to no growth asset at a premium price and invest in a high growth asset at an attractive price. We expect that the Retail Propane EBITDA we are giving up will be replaced by reinvesting 50% of the sale proceeds over the next couple of years. Second, let's discuss our growth expectations for Crude and Water. First, with respect to Crude Logistics, we anticipate 10% annual EBITDA growth from our current assets over the next three years with reduction in takeaway capacity from the DJ, we expect increase in volumes to be shipped on the Grand Mesa pipeline. Any new asset builds will add to this growth rate. In the Water Solutions business we currently have 100 SWDs in the basins in which we operate. We currently are disposing over 950,000 barrels per day and expect to add approximately 300,000 additional barrels per day by the end of fiscal 2019. We are focused on the Delaware basin with our capital dollars as this basis is expected to produce at least 10 million barrels a day of water by 2022. We are in the process of building a 55-mile, 150,000 barrels per day water pipeline from Pecos, Texas North to the New Mexico border with most of our Texas-Delaware SWDs connected into it. We have recently drilled two Devonian SWDs in New Mexico. These are 17,000 to 18,000 feet deep and they cost us $6 million and $8 million respectively that are fully committed with pipe water. We expect to drill 12 SWDs in total this year all of which will be pipeline connected. This space is quickly converting into the characteristics present in the gas processing fractionation sector which has long term commitments, contracts and pipeline connections. Water valuation multiple should increase over time. The Delaware is also less risky than other basins as it provides the best economics for drilling with the lowest percentage of flow back water which can be lost when rigs are laid down. We expect 20% annual growth for the next three years at current crude oil prices and rig count. Now let's talk about the strategic direction of NGL. First, we're moving away from the five lines of business to a less complex MLP with emphasis on two growth engines; Water Solutions and Crude Oil Logistics. Both of these segments have long term commitments, repeatable cash flows, high rate of return and high growth although more correlated to commodity prices. Second, we are also moving to predominantly self funded model with respect to internal growth projects which is only possible with higher commuted [ph] coverage. Over the next few years we anticipate excess DCF to consistently be in the 100 to 150 range annually. Third, we are significantly strengthening our balance sheet by reducing leverage to 3.5 times and we will have no outstanding borrowings on our acquisition revolver. And finally, we are largely limiting the seasonality and weather impact on our cash flows. So what is the future of NGL? Since we're moving the partnership into this Crude Oil Logistics and Water Solutions focused business model, with reduced leverage 1.3 to 1.5 commuted [ph] coverage and enhanced liquidity one we expect a reduction in our cost to capital. Two, in the near term with excess DCF and an undrawn revolver, we do not anticipate the need to access the market markets. Three, our EBITDA is expected to grow substantially over the next three years. We see several attractive growth opportunities that we are working on that would replace the Retail Propane EBITDA that we have sold. And four, we expect to become a growth MLP once again with the ability to increase our commuted [ph] distribution by 10% annually over the next four years. And investment in NGL and the broader energy sector has not been a smooth ride over the last couple of years. But we have navigated the downturn, listened to our investor, bankers and advisors, resulting in this modification of our strategy to enhance value for our unitholders. We believe we have turned the corner and see a bright future ahead. I would like to thank our bondholders, banks, TJ at RBC, Shneur at UBS and Darren at Raymond James for having confidence and managed the ability to stay the course and ultimately create value for their investors in a very difficult energy environment. Back to you, Trey.
Robert Karlovich: Thanks Mike. A few additional items to note related to the sale of the Propane business. We do plan to reduce [indiscernible] proceeds from this transaction especially initially. We obviously look at our near term maturities and higher cost debt initially as well as making sure we maintain liquidity under our credit facility to fund our growth opportunities that Mike discussed. We also evaluate other balance sheet opportunities around the preferred units and be opportunistic, but the goal here is simple, we want to lower leverage and the ability to self fund any internal capital without reliance on the equity capital markets or the debt capital markets. This transaction allows us to manage near term debt maturities, liquidity and growth capital free of any debt capital limitations or need to issue equity. While we may be a smaller company, immediately after the closing of the sale of Retail Propane, as Mike mentioned we are now more focused with crude and water making up a significant part of our earnings portfolio and growing those businesses significantly. The Refined Products business will continue to be an offset to commodity prices and our Liquids business will continue to have a certain amount of seasonality in it. We expect leverage to be around 3.5 times upon the closing of the Propane sale which his almost a full term reduction from our March 31, ratio and nearly 2 turns lower than our peak leverage last September. We continue to target leverage of 3.25 or lower for our business portfolio and will be at that level or lower based on our fiscal 2019 guidance released today. With regards to deleveraging, we reduced debt significantly during the fourth quarter as well with proceeds from the Retail West DCC sale and our JV with Sawtooth being implied to debt reduction totaling approximately $240 million including the repurchase of 71 million of unsecured notes at just below par and the remaining proceeds applied to our credit facility. Our compliance leverage has been reduced by 1 turns of the decline of September and currently sits at 4.4 times. We were able to reduce debt this patient quarter while also being able to fund our growth CapEx for the fourth quarter which is still approximately $51 million which was primarily focused on our water and crude businesses. Our fiscal fourth quarter results were highlighted by continued strong results in our water business, strong volumes on Grand Mesa and a normal winter for our Retail Propane businesses. Additionally our Refined Products business came in right in line with our guidance for the quarter, but has seen more stabilized margins over the past few months. Unfortunately, we had to manage through a significant decline in propane prices in February and a glut of product that caused another mess in our liquid segment this year which was off $15 million from guidance. We also had certain one-time charges impact our general administration costs by about $8 million. Overall we reported adjusted EBITDA of $156 million for the quarter and $408 million for the year. Obviously we were sure of our expectations this year; however, the overall businesses have either improved since the start of the year as is the case for Refined Products or continued to growth throughout the year which we have seen with Water and Crude. We will walk through the impacts on liquids and what we believe will result in improvements in that segment going forward. I'll go through the results for each segment and discuss our guidance ranges for the upcoming fiscal year. We'll start with Crude. The Crude segment generated approximately $32 million of adjusted EBITDA this quarter with Grand Mesa contributing $46 million in gross and approximately $39 million on a net basis. The remainder of Crude Logistics segment operated at $7 million loss for the quarter, the first without Glass Mountain which was sold in December. That loss includes funding our commitments on third-party pipelines, operating in our marine, trucking and rail businesses and our stored terminals at Cushing and the Gulf Coast. Full year adjusted EBITDA totaled over $118 million for this segment compared with $59 million in the prior fiscal year, 98% growth year-over-year driven by Grand Mesa. Financial volumes on Grand Mesa averaged about 109,000 barrels per day for the quarter and physical volumes averaged about 103,000 barrels per day during the quarter. Volumes continue to increase on the pipeline and we expect that volume growth to continue this upcoming year as well. We are forecasting an average of 115,000 barrels per day on Grand Mesa for the upcoming year. So the increase in volumes this fall once the gas gathering and processing bottlenecks in the DJ Basin are alleviated. We're seeing increased margins in the other basins as well and starting to see higher utilization rates on our camputation [ph] assets. We're moving significant volumes through our Cushing terminal and all the other benefits that come with crude oil over $60 per barrel. We are optimistic about this business for the upcoming year assuming crude prices stay above that $60 per barrel level, rig counts remain steady or grow in our core basins and production volumes continue to increase. We are evaluating several gathering and transportation opportunities in the Crude business and will update the market as soon as we have something ready to announce. With the increase in our [indiscernible] on Grand Mesa, higher margins in the basins we operate and expected increase utilization in our transportation assets we are forecasting 2019 adjusted EBITDA for this segment to be between $145 million to $155 million which is based on our current set of assets and does not assume any significant capital investment into this business. Going to Water, Water adjusted EBITDA was $32 million for the quarter which included a realized loss of skim oil hedges of approximately $3.5 million. Full year adjusted EBITDA for the Water segment was over $115 million, an 83% increase year-over-year. Water volumes averaged 760,000 barrels per day this quarter, and 707,000 barrels per day for the year. Volumes for this quarter were slightly impacted by a delay in producer completions coming on line during January and February in both the Delaware and the Eagle Ford. Volumes increased in March and we are currently disposing over 900,000 barrels per day through April and May. Our skim oil production was over 4000 barrels per day during the quarter with an average crude cut of 0.53%. Skim oil volumes for fiscal 2018 have averaged approximately 3200 barrels per day with a 0.45% crude cut. We have continued to layer in hedges and have hedged approximately 78% of our expected skim oil production at approximately $56 per barrel through March 2019 to limit any direct impact from crude oil pricing changes. We also have some hedges running through December 2019. We have invested approximately $105 million of growth CapEx this year in the Water business as we add disposal capacity and carrier pipelines to support our existing and new disposal customers. Looking ahead to FY 2019 we expect to invest approximately $250 million in our Water business, including approximately $140 million to $150 million in acquisitions that have already been identified and negotiated to date. We are constructing 12 new facilities with multiple wells at each location primarily in the Delaware. We are also adding over 100 miles of pipelines and we'll have approximately 500 miles of pipelines connected to our facilities between owned and producer owned connections by our fiscal year end including a new 55-mile trunk line from New Mexico State line to Pecos, Texas that will connect 15 of our facilities in the core of central Delaware. Our expectations for the growth in the Water business are high for FY 2019. We believe we have built a world-class disposal business particularly in the Delaware and DJ basins and we are not slowing down on that build up. We have numerous producers from majors to independents, contracting with us to be the Water disposal partner. We are adding pipelines and facilities if needed and building those facilities soon after start up in these basins. Our businesses run rate approximately $165 million annualized today with over 900,000 barrels per day on the system. We're including the volume growth expected on existing platform and the growth capital we are investing this year through acquisitions and organic growth, we expect to generate adjusted EBITDA of between $200 million and $225 million in FY 2019 with over 1.25 million barrels per day on this system by the end of this fiscal year. And as Mike mentioned, we see continued growth in this business going forward as well. Our Liquids business had adjusted EBITDA of $15 million this quarter and $50 million for the year. The wholesale propane business did not perform to expectations in the first quarter. This business was generally on plan through January, but unfortunately did not perform in February and March. Excess propane supply, low demand and a falling propane price in February resulted in high inventory volumes and sales price lower than our cost. Also the Conway market experienced an unprecedented pricing drop of $0.30 per gallon from December to March significantly eroding the value of volumes flowing out of storage. Our Butane business saw higher butane margins and volumes during the quarter. However, it continues to be burdened by railcar lease costs. We plan to return a number of railcars this year to right size our fleets in both propane and butane for the current business environment. The Sawtooth joint venture is off to a positive start with higher volumes contracted for the upcoming storage season than the prior year. We're working with Magnum, our new partner to grow the volumes and bring Refined Product storage online by the end of this fiscal year. As a reminder we own 72% interest in Sawtooth and bagged another three-year option to buy our remaining interest. Our guidance range for the Liquid business is $55 million to $70 million which assumes a similar business environment to this year and our reduced investment. Our Liquids team has made several structural and commercial changes to its business to mitigate the impacts experienced last year, including improved sales contracts, additional cost reductions including the railcar savings, more rigorous supply modeling and hedging. With the structural and commercial changes made to this segment, as well as emerging market opportunities, we would expect to exceed the current year's results. Retail Propane EBITDA was $65 million for the quarter over $109 million for the year. This includes Retail West and the Retail East portions of our business. We knew January would be a good month for Retail when we last reported our earnings and forecast at that time called for a cold February and March. Unfortunately the forecasters were only half right. February was abnormally warm especially in the eastern region. March was on the cold side and additionally April was colder than normal particularly in the east as well. This led to strong margins and volumes for the business, but not quite as high as we'd hoped for early February. The business still be our original budget and performed very well for the year. During the quarter we invested approximately $2 million in acquisitions and growth capital Retail Profane. Overall we invested growth capital of $50 million in the Retail Propane business for the entire year. With the sale of this business segment we will only get the benefit of one quarter results in fiscal 2019. Since this time last year when we announced that we were evaluating certain asset sales, we had generated over $1.1 billion in net proceeds in cash flow from this segment after including the cost of acquisitions, growth and maintenance capital invested which as a reminder the segment generated $91 million of adjusted EBITDA in the prior fiscal year. That was over 12 times cash flow from last year. We believe that we are making a good decision to adjust our strategy and focus on some of our other core businesses going forward, but we also believe we have executed the sale of Propane in a way that generates an excellent value to our shareholders. We are still analyzing the tax gain that will be recognized from the sale of Retail Propane, all of which will be recognized in the 2018 tax year. However, we do expect to have certain losses to offset this gain through the remainder of this year including the tax losses related to Sawtooth transaction and we also expect to generate an ordinary tax loss through our depreciation and amortization. We will provide a more thorough update on the tax applications on our next quarterly earnings call. Refined Products reported adjusted EBITDA of $26 million this quarter and approximately $49 million for the year. We've seen a recovery in line space values and rack margins on Colonial which is a benefit to our business. We continue to optimize our line space in an attempt to maximize margins and shipper history. Line space values do not appear to be the primary driver of rack margins this year which is a significant change from last year, rather colonial rack markets are pricing around local supply-demand fundamentals versus export economics to Latin America. Mexican imports are declining as the refinery operations slowly improve as well. With the addition of our gas blending business and incremental storage, we expect to carry a slightly higher inventory balance through the upcoming fiscal year, most of which will be financed through our working capital facility. However, we are looking at ways to optimize the financing of this inventory going forward. Our FY19 guidance range for the Refined business is $55 million to $88 million which similarly uses this past year as the downside scenario, adjusted for our new gas blending operations. As a reminder, the Refined business should generally be counter cyclical to our Crude and Water businesses. Our corporate costs were $12.9 million this year an anomaly as we incurred several one-time items including a $3.5 million Workers' Comp adjustment related to prior years, a $1.5 million legal settlement and additional legal costs of about $3 million compared to prior year. These costs were not expected and also are not expected to continue at these levels. Our full year costs were approximate $34 million and would have been in line with our guidance without these items. Going forward we expect corporate and other to be $25 million to $30 million of expense. I think it is important note that we have changed our method of guidance for this fiscal year. We're providing ranges for each of our business segments. As a reminder, our diversified portfolio is meant to be structured so that we should not always operate at the high end or low end for every business in the same period, but rather have offsets at some level that balance the cash flows. Obviously it is not perfectly correlated, but it has worked for example in FY’17 when Crude and Water struggled the Refined Products business performed well and FY’18 was the opposite. Our current expectation is similar, with the higher crude oil price we would expect the Crude and Water segments to also perform extremely well this year with refined products potentially trending to the lower side of our guidance. We declared a $0.39 per unit a $1.56 annualized distribution for this quarter. Management expects to recommend to the Board that we continue at this distribution rate until at least our fiscal third quarter distribution which would be declared in January 2019 as we rebuild coverage to our targeted 1.3 times coverage or better. In summary, we are starting the new chapter at NGL following the closing of the Retail Propane sale. We are very appreciative of the people who worked in our retail business and how they have grown that business and operated safely over the years. It was a great platform to launch our public company and initiated the growth of our business platform, but our strategy is changing. We are looking at our higher returning and what we believe should be higher valued businesses to be our growth vehicles in the future. We are narrowing our focus, reducing indebtedness and moving to a self funding model for our organic growth capital. We should now be able to achieve our target leverage of 3.25 times in a short timeframe, rebuild our coverage to our targeted 1.3 times or better and like to grow our distributable cash flow per unit from there. Thank you for your continued interest in our partnership, we would now like to open the line for questions.
Operator: Certainly. [Operator Instructions] And our first question comes from the line of Darren Horowitz with Raymond James. Your line is now open.
Darren Horowitz: Hey guys, good afternoon. First Mike, congratulations on the sale of the remaining Retail Propane assets and also on the new strategic initiatives, my first question just with regard to the guidance Trey, as you outlined fiscal 2019 including $140 million to $150 million of Water Solutions segment acquisitions, is that built into the EBITDA guidance? And secondly, I think the prepared commentary mentioned very briefly about swinging from an initial dilutive or possibly neutral stance from a cash flow per unit perspective to future accretion, how accretive are those Water Solutions acquisitions on a per unit basis and how should we think about the return on capital for the new strategic outlook for the partnership?
Robert Karlovich: Thanks Darren. So to start yes, our guidance does include those acquisitions. Those acquisitions have been negotiated and are expected to all close by the end of the first quarter. We have factored those into our guidance for this fiscal year. The remaining CapEx that we identified in the earnings release and discussed on the call has also generally been identified as well. It is organic, it’s related to the facilities of the pipelines that has all been factored into our target for this full fiscal year as well as the distribution and coverage that we discussed. As far as the returns on our Water projects, generally speaking those projects are done at four to five times. Acquisitions maybe slightly above that, but with the blended of those acquisitions into our existing infrastructure, we expect to bring those multiples down to a similar level. As far as the, per unit or DCF multiple we haven’t actually put that together. I don’t know if Mike has any color around that. But they are highly accretive projects and the key to replacing the $83 million of cash flow from Retail Propane which is what this business generated last year approximately $73 million of distributable cash flow, the key to replacing that will be the redeployment of capital into Water and Crude infrastructure going forward. Initially, we will paydown debt and we will get some benefits from the reduction in interest costs for that debt paydown, but ultimate accretion will be delivered through the redeployment of the capital.
Michael Krimbill: So Darren, I would just add our, the multiple on Water in general, it will be less than five times.
Darren Horowitz: Okay. So Trey, you hit on couple of things, with regard to the amount of debt that’s being paid down, can you just outline for us not just what the interest expense savings is going to be, but obviously with the Retail Propane seasonality gone and the ebbing and flowing of what that meant to the working cap facility, how much during peak heating season, how much could that working cap facility flex and what do you think that means in the eyes of the rating agencies with regard to where your debt is currently rated and going forward, how they might view the composition or the intrinsic risk profile of the company?
Robert Karlovich: Right. So we’ll have a minor impact on our working capital. The primary uses of our working capital are is our Refined Products business as well as our Liquids business which we have maintained and we will still have some ebb and flow in that Liquids business as we build propane and butane through the seasons. However, Retail Propane generally speaking is not widely viewed as a credit, highly credit positive business by reducing exposure to Retail Propane that should be a benefit as well as the deleveraging in general. Overall, the agencies are looking for us to have leverage at five times or better from an all-in basis and this transaction gets us very close to that level right out of the gate. So we would expect this to be viewed as a rating positive announcement. Obviously, the key will be delivering earnings post this transaction. As far as interest savings, the key will be in how we go about reducing debt. As I mentioned on the call we have several opportunities. We will obviously look at near term maturities and the higher cost pieces of paper, but again some of that we may have to be opportunistic in evaluating how we go about paying down debt. As Mike mentioned, we will reduce our acquisition facility. So of the $900 million in proceeds when you take the $140 million to $150 million in water acquisitions, that comes off the top and the remainder would go to paydown debt and then be redeployed in the future.
Darren Horowitz: Okay, that’s helpful. And then my last question just on the Water segment EBITDA guidance for this year, as the volumes grow from 900,000 barrels as you I think said is a $1.25 million by the end of fiscal 2019, does that end up being more fiscal third or fiscal fourth quarter weighted or is it more completion timing such that the remaining 10 wells of that 12-well program is linear throughout the year?
Michael Krimbill: Your first thing was correct, so it is more weighted to the third and fourth quarter where April and in fact was over budget, I think we said we’re running at run rate now of about $165 million. So it will ramp up to above our guidance. So I think on the high end it will be 225, so to come to that level we end up kind of fourth quarter at a 250 run rate.
Darren Horowitz: Okay, thanks Mike. I appreciate it.
Robert Karlovich: Okay. Just to add to that Darren, by basin we are expecting the Delaware to be pretty linear as we add disposal facilities. We are expecting a bump second half of the year in the DJ similar to Crude as gas processing and gathering comes online, there is a significant amount of Crude oil and Water that is expected to come online out of that basin.
Darren Horowitz: Thanks Trey.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Sunil Sibal with Seaport Global Securities. Your line is now open.
Sunil Sibal: Yes hi, good afternoon guys and thanks for all the clarity on the call. Couple of questions from me in terms of managing the debt balance, any particular issuance that or is it just a maturity level will be your primary focus when you look at paying down debt?
Robert Karlovich: So obviously as I said we will look at higher cost debt as part of this, but we do have a maturity in July of 2019 that we want to make sure we have the ability to fund at that time or the desire to take it out before that time, that is our only real near term maturity. The next tranche or the 21 which are callable, those are 6 and 7 to 8, so that's something we would obviously look at. The 23s are 7.5% coupon, so that is our highest cost of debt. So obviously we would evaluate that as well depending on obviously where that trades probably not do anything with the 25, we think that’s our longest term debt and also a pretty attractive coupon at 6, 7, 8.
Sunil Sibal: Got it. Thanks for that. And then I think in your comments you mentioned something with regard to losses on the propane inventory vis-à-vis the inventory in the Conway region. Can you talk a little bit about your strategy terms of hedging of that inventory and then how does that kind of roll into your numbers on a quarterly basis?
Michael Krimbill: Sure, so first we are reducing our storage capacity and the amount of volume that we are storing at Conway as well as some other areas in the midcontinent. We are being more strategic in how we’re contracting with our customers to ensure that we don't, we are not left holding product through a downturn in pricing or having that product in transit. So what happened in February was we had barrels coming out of storage in late January on railcars for 30 days through February and delivered at a much lower propane price, so we are changing our contract methodology to alleviate some of that's well. Those are the primary ways that we are looking to mitigate the impact. However, I will say that the decline, the change in price from Conway between December and mid February of $0.30 was abnormal and significant and not something that you can absolutely protect against. Mike, if you have anything to add to that?
Sunil Sibal: So again, net debt, so you are adjusting your strategy, seems like in terms of managing that debt exposure right?
Michael Krimbill: Correct.
Sunil Sibal: Okay thanks for that, and then on the Crude Logistics side most of your logistics assets are focused in DJ basin or what are any other basins if they have any significant exposure?
Michael Krimbill: So obviously the DJ is significant and our largest with Grand Mesa and we also have our Cushing assets. We do market barrels in the Permian, in the Bakken, and the Eagle Ford, as well as in the Mid-Continent, Oklahoma. So we continued to do some of that, as well as our terminals on the Gulf Coast, Oklahoma [ph] in Point Comfort. So the DJ is our largest, but we do have a presence in really all of the active basins.
Sunil Sibal: Okay and then lastly, I think from a timing perspective, you – it seems like you've included one quarter of retail propane in your full year ‘19 guidance correct?
Michael Krimbill: Correct, that's in our other category.
Sunil Sibal: Okay. Got it thanks. That’s all I had.
Robert Karlovich: Thanks Sunil.
Operator: Thank you and I'm showing no further questions, so with that I'd like to turn the conference back over to CEO, Mr. Mike Krimbill for closing remarks.
Michael Krimbill: Thank you. Well thank you. We had a pretty good turnout and we appreciate it. We will continue executing and we'll talk to you in three months, well less than that probably, so we'll see you soon. Thanks.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. You may all disconnect. Everyone have a wonderful day.